Operator: Good afternoon, ladies and gentlemen, and welcome to the Deutsche Börse AG Analyst and Investor Conference Call regarding Q2 2018 results. [Operator Instructions] Let me now turn the floor over to Mr. Jan Strecker.
Jan Strecker: Welcome, ladies and gentlemen, and thank you for joining us today to go through our second quarter and half-year 2018 results. With me are Theodor Weimer, CEO; and Gregor Pottmeyer, CFO. Theodor and Gregor will take you through the presentation today. After the presentation, we will be happy to answer your questions. The presentation materials for this call have been sent out via email and can also be downloaded from the Investor Relations section of our website. As usual, this conference call will be recorded and is available for replay. Let me know hand over to you, Theodor.
Theodor Weimer: Thank you, Jan. Good afternoon, ladies and gentlemen. Let me start today's presentation with a short summary of the results of the second quarter, and let me highlight the first half of the year 2018. Afterwards, I will give you an update on the progress we have made so far, implementing our "Roadmap 2020" growth program. In the second quarter, the good performance of most of our secular growth areas continued and stabilized. In particular, the commodities business of our EEX subsidiary, the foreign exchange business of 360T, the Investment Funds Service business saw strong double-digit net revenue growth numbers. Net revenue in OTC clearing, which is part of Eurex segment also expanded further. Cyclicality continue to be a tailwind in the second quarter. While equity market volatility declined somewhat compared to the first quarter, we saw an increase of demand of our fixed income derivatives. This was triggered by the Central Bank decisions in Europe and the U.S. as well as the situation specifically in Italy. Furthermore, net interest income at Clearstream continued to increase due to higher risk interest rates. The current annualized group-wide net income - net interest income stands at around roughly €220 million, which is only slightly below the peak level of around €240 million in 2007 and 2008. In total, net revenue in the current half increased by 11% to around €1.4 billion. The secular component, which is of utmost important for us of this net revenue growth, amounted to around 7%. At the same time, operating costs are managed in order to achieve full scalability of the business model. This was solid in a 15% growth of the net profit of around €0.5 billion. With this, financial development in the first half of 2018 is very well in line with our guidance and midterm plan under the "Roadmap 2020" strategy program. As you'll recall from last quarter's earnings call and our Investment Day on May 30, the road map builds upon our existing strategy that has three main pillars. The first pillar is to improve and accelerate limitation of the existing secular and cyclical growth opportunities. The second pillar is the external growth with the disciplined and focused M&A approach. And the third pillar consists of higher investments in technology to tap into new revenue opportunities and to further increase the efficiency. The additional investment need for the accelerated limitation of the growth opportunities and the development of new technologies will be fully financed through 100 million reduction of structural costs. Beyond the achievements on the financial side, in the first half of the year, we also made progress in implementing the strategy. We successfully executed acquisitions in the Investment Funds Services business with Swisscanto Funds Centre and the FX business with GTX ECN in the United States. Both acquisitions with a value of around €80 million each are attractive add-on to our business, and the valuation levels are also quite reasonable. We are convinced that there will be further attractive excel growth opportunities for us. Our main goal is the expansion of selected existing assets in the 5 areas we are aware of: fixed income, commodities, foreign exchange investments and Investment Funds Services as well as our data offering. With regard to our structural cost savings of €100 million, we have made very good progress since the announcement of the program in April this year. The bulk of the nonstaff cost measures have been planned in detail and decided on already. The management delivery progressing role and we already see most of the benefits in the second half of the year. And finally, the staff-related measure of the HR measures have been defined already and are worked out in detail. We will enter into the negotiations with the respective workers' councils and employee representatives shortly. Furthermore, we have made progress with our technology initiatives in 4 focused areas of blockchain and distributed ledger technology, big data and advanced analytics, improvement in economies of scale through the use of software cloud as well as robotics and artificial intelligence. We have now set up dedicated group-wide teams that are further driving these opportunities forward. Also 2 new management board members joined the ExCo, the executive board, in July as previously announced. Thomas Book is now responsible for trading and clearing. And Stephan Leithner for trading data and index. And Christoph Böhm, our new Chief Information Officer, will start effectively as of September 1 and will get appointed as an ExCo member as planned on November 1. There are still a lot of work to be done in the coming quarters across all initiatives, but I'm convinced that we have the right setup and the management team will further deliver on the targets. With this, I would like to hand over to Gregor to present the details of the financials of Q2. Thank you for your attention.
Gregor Pottmeyer: Welcome, ladies and gentlemen. Let me start with the group financials in the second quarter on Page 2 of the presentation. Net revenue increased by 10% to €687 million as part of the income across the group continued to increase and reached €55 million. Operating costs adjusted for exceptional items were up by 7%. One of the reasons why cost growth was up robust our 5% maximum target for the full year was the spending done at Clearstream. In the first quarter, other operating cost in Clearstream were below average and in the second quarter, they were above average. This is something that will average out for the full year. Exceptional items increased to €54 million. Besides the typical M&A integration and legal expenses, this includes provisions for the implementation of the management delayering as part of the "Roadmap 2020". Including the provisions from staff-related measures, which we are planning to book in the second half, we expect around €230 million of exceptional items in total for 2018. Adjusted EBITDA in Q2 increased by 12% to €426 million. Adjusted net profit amounted to €262 million, and adjusted EPS increased by 14% to €1.42. Net profit was adjusted for exceptional write-off, which mainly resulted from the accelerated decommissioning of IT infrastructure. I'm now turning to the quarterly results of the 9 reporting segments, starting with Eurex on Page 3. The Eurex development in Q2 was primarily driven by secular growth. Secular drivers were new derivatives product, an increase of the handling fee for cash collateral and the further growth in OTC clearing. In addition, we saw double-digit cyclical growth in fixed income derivatives in light of developments in interest rate markets. In total, net revenue in the Eurex segment increased by 13% to €240 million, and adjusted EBITDA grew by 19% to €169 million. Our commodities business, EEX, was driven by trade-reversed net revenue development in all areas of the business. Important secular drivers were the higher market shares in power derivatives and desktop contract. Furthermore, the consolidation of Nodal in May 2017 resulted in an increase of net revenue against the previous year. In total, net revenue in the EEX segment stood at €61 million, and adjusted EBITDA amounted to €27 million, both growing in the double-digit area. In the FX business, 360T, average daily volume grew by 6% against the previous year. This was mainly driven by the continued process of new client onboarding. In addition, the increased share of higher-margin product has a positive effect on net revenue growth. In total, net - stood at €19 million and adjusted EBITDA at €8 million, expanding by 13% and 15%, respectively. In our cash market, Xetra, total order book turnover increased by 17%. Net revenue growth was mainly driven by an increase of our market share. However, revenue per order book volume declined due to incentives we offer for liquidity provisions. In total, net revenue in the segment stood at €66 million, and adjusted EBITDA amounted to €32 million. At Clearstream, custody and settlement net revenue was broadly stable against the previous year. In settlements, business are now like-for-like comparison after key product introduction and the discontinuation of domestic settlement charges in February last year. Despite a small decline of the average cash balances, net interest income improved significantly due to higher U.S. rates. In total, net revenue in the Clearstream segment stood at €181 million, and adjusted EBITDA amounted to €109 million, each growing by 10%. In the Investment Fund Services segment, both assets under custody and settlement transaction increased by high single-digit growth rate. The main driver was a growing number of funds on the platform. Net revenue grew to considerably larger extent. This is mainly a result of higher connectivity net revenue since the third quarter last year. In total, net revenue in the IFS segment increased by 17% to €38 million, and adjusted EBITDA grew by 28% to reach €60 million. Repo outstanding in the Global Securities Financing business continued to be negatively affected by the central bank monetary policies, which reduced the need for a secure money markets transactions. Since the beginning of the year, outstanding in security standing also decreased slightly because of acute lending demand. However, lower volumes were more than offset by higher average commissions paid in both businesses as a result of market conditions. Therefore, net revenue in the GFS segment stood at €21 million. Adjusted EBITDA amounted to €11 million. Our index business, STOXX, was driven by a small decline of the number of exchange licenses sold primarily to Eurex and continued secular growth of assets under management and ETF. Net revenue in the previous year quarter has been higher than normal due to one-off event. Therefore, net revenue in the subsegment declined slightly to €35 million. Adjusted EBITDA amounted to €24 million. In the data business, the number of subscriptions declined year-over-year, which was partly offset by a more favorable average pricing. Furthermore, there was no positive impact from audit-related revenues in the second quarter, but we are expecting a catch-up in the second half. In total, net revenue in the data segment stood at €38 million, and adjusted EBITDA reached €28 million. This brings me to the results of the first half year 2018 on Page 12. Net revenue increased by 11%. Operating costs are 5% and thus, net profit was up by 15%. This means that we are currently very well in line with our financial targets and scalability growth for the full year. For the rest of the year, we are expecting continued secular growth and also, on average, positive development in the cyclical part of our business. I'm moving on to Pages 13 and 14. There's more detailed explanation of the year-over-year changes in net revenue and operating costs. As our secular initiatives, we generated around 7% net revenue growth across the group in the first half. This was slightly above our guidance of at least 5% secular net revenue growth for the full year. The main contributors there were Eurex, including OTC clearing and new product, the commodity business, Clearstream and Investment Funds Services. In addition, a more favorable cyclical environment in equity and interest rate markets as well as further increases in U.S. rates we're driving around 4% growth of net revenue in cyclical areas. On top of that, the consolidation of Nodal in May 2017 added another around 1% net revenue growth. Operating cost in the first half year increased by around 5%. The main reason for the cost increase was higher variable and share-based compensation due to strong business performance and the rising share price as well as inflationary pressure across the business. Furthermore, the consolidation of Nodal and an increase of investments in new technology resulted in higher costs. For the remainder of the year, we will consciously manage cost in a way that around 5% on a constant portfolio basis as the maximum growth number for the full year. One of the levers will be the cost saving measure we are currently implementing. With that, we will ensure a full scalability of the business model and deliver earnings growth outreaching our revenue gain as planned in our business forecast. This concludes our presentation. We are now looking forward to your questions.
Operator: [Operator Instructions] The first question comes from Arnaud Giblat from Exane.
Arnaud Giblat: Arnaud Giblat from Exane. My question relates to the restructuring costs. So you've indicated that you stepped up the restructuring costs this year from 80 million to 230 million. Thinking further out and especially if I look back in time, over the past 8, 9, 10 years, you've had - every year, you had restructuring costs. So I'm wondering to what extent this is permanent features within your accounts? And should we be expecting a step-up versus what you've done historically in terms of restructurings. Notably, if I think about the shift towards your technology, I suppose this quarter may shift into go along so. And so any guidance in terms of the future restrictions would be helpful. And secondly, I'm wondering what sort of impact we should be thinking about deploying surplus capital in buybacks? What impact the step-up will have?
Theodor Weimer: Thanks, Arnaud, for the questions. So the increase of from €80 million to €230 million under restructuring costs is purely a result from our structural performance improvement program, so we guided you on our capital markets and that is around €200 million and this additional €150 million is now the contribution we see in 2018, so also this year. We have already booked provisions for the management delayering because we have made decisions here and have basically or merely executed that topic. We were not able to build the provisions now for the staff measure because we have to define this now for us, but we are now starting the negotiation process with the workers council and for the tax benefit and by expectation as our target is to book the provision. If you finalize the negotiation that you will see the bulk of that in Q4. And your question is just a permanent approach, obviously, not in that side because that's now different. It's now defined a program for the next 4 years and obviously, that needs more attention. And therefore, you see a specific higher investment what we have to do in 2018. Regularly, we also include the restructuring costs smaller items for litigation costs and also some M&A integration costs so that also depends on the kinds of M&A that we do for the next year. But as a summary, for 2018 which was €230 million, that's an exceptionally high number. A normal year, that should be a double digit million euro number. Second question, capital buybacks. Capital management buybacks so you are aware that we finalized our first 200 million tranche in Q1 as a program. We are currently preparing the next €200 million for our share buyback, and we want to start in Q3 this year and to finalize the [indiscernible] until year-end.
Operator: The next question comes from Benjamin Goy from Deutsche Bank.
Benjamin Goy: One question, OTC clearing. You're making progress on the shorter data swaps, but also wondering any progress or any views on the longer-dated instruments. And then related to that, it's only 2 weeks ago about the U.K. white paper was released. I'm not sure whether you can already give some more color out of percussions with clients, following that paper.
Theodor Weimer: Yes. So you are seeing our announcement that we are now cleared to know outstanding of more than €7 trillion. So that's good to see that kind of progress, though that relates in a market share of 8% so that's really good progress on our perspective, what we achieved so far. Yes, you are right, it's still focused on the short-term related years. And obviously, our focus is now to get more traction on the longer-dated business. For that, we are still in the process to connect to stronger buybacks and asset management in front and we're right on track. We hope that we will have some of the expect that we have it done until year-end so that in 2019, we expect also to get a bigger part of the longer-term business. But overall, we are right on track what we have planned. You have seen our OTC clearing revenues. We are €6.2 million. So times for that's basically the €25 million what we guided for you so we are perfectly on track here and confident we will achieve our midterm to long-term target. With regard to the U.K. white paper published, I think it's too early and it's - there is still uncertainty in the market and no one knows how it will finally end. But at the end of the day, some opinions are around that Brexit in March 2019, but it's still unclear and it's still uncertain how final solutions will look like. But obviously, that kind of uncertainty basically helps us because the dilution [indiscernible] by Eurex Clearing is the only safe alternative you have currently in the market.
Operator: The next question comes from Kyle Voigt from KBW.
Kyle Voigt: In the first half, the team made a common theme across the number of the segments was pricing. I think last year, you made some changes to transaction fee pricing in Eurex. This quarter, you made some fee changes for handling collateral in Eurex. The STOXX business, I think, is typically one that exhibits some pricing power, and then there fee changes last year with Clearstream and around T2S. Just wondering if you could help us frame how much of your year-on-year organic revenue growth in the first half was from pricing versus other factors and what your expectations are for pricing to drive continued growth moving forward?
Theodor Weimer: Thanks, Kyle, for the question. So we continuously review and adapt our pricing scheme. And last year, with regard to the regulatory changes of [indiscernible] and MiFID, and so we took the opportunity and increased in certain areas our prices because we were below market levels. And so there was a good opportunity for us to catch up. Overall, we gave the guidance that, that is basically 1% out of our net revenue growth of - for 2018 out of the measures we did in 2018. So that's translated to €25 million. In addition, we did not prefer. We increased our cash collateral fees by 10 basis points what's basically on a full year basis, another €25 million. So that rare opportunities we did in the market. And we do not promise to do further price increases because we always have to consider what is the current situation we are in, but what we do is that we constantly review our pricing, and we do that on a yearly basis.
Operator: The next question comes from Johannes Thormann from HSBC.
Johannes Thormann: First of all, could you elaborate a bit more on the revenue and cost contribution from your recent conference GTX acquisitions in which quarter we will see those effects and then probably also specify some amounts? And secondly, could you give us an update on Clearstream's TARGET2-Securities customer migration pipeline there, which was given at the Investor Day, if anything has changed or has more clarity, which customers are moving towards Clearstream's platform?
Theodor Weimer: Yes. So starting with the second part of Clearstream pipeline. So you are seeing our announcement in Q2 that we migrated to the 5 European markets where we are in the past, not in France, Italy, the Benelux countries and Spain will also follow. So we have started that process now that we are now present in these markets, and we expect now as we said it's not a jump-start here so if we take some it will take some time to collect the business, the local business from the this year in that market.
Operator: (Technical difficulty)
Jan Strecker: Again, sorry, guys. It's Jan from Deutsche Börse, and we are back. Unfortunately, our line has been disrupted. Just to comfort you, we are not operating this. This is a third-party provider, and I think last question was from Johannes. Johannes, are you still on?
Johannes Thormann: Yes, I am. So the line got lost when you talked about you have migrated some markets. Can you be specific on customers plans as well or is it too early to talk about?
Theodor Weimer: I think it's not appropriate in that call to talk about specific customer discussions. We have, obviously, yes, we have with the big customers, good conversations, but we stick to our approach. If we have something to announce then we will do that. And so far, I can tell you that we are in a good progress here. But again, it's not a jump-start. It will take some time. And if a customer decides to move to our platform, it's always a process of around 12 months to migrate here, to get the business. So - but our view is unchanged. The economics are quite clear. We have a strong euro liquidity. There's liquidity efficiencies if you use the Clearstream platform, and we are right on track here.
Gregor Pottmeyer: If I may add, Johannes, from my side, on the CST side, right, we are widening the [indiscernible] clearing infrastructure by our estimates the issue of connectivity for exchange flows. And more specifically, as pointed out during the Capital Markets Day on the ICD side, it's a globalization of the issuance market ongoing and the markets that are focused on the Chinese bond markets and the emerging markets, specifically in Kazakhstan, Ukraine and so forth. And we can share with you that as per the second half of 2018, we continue to expect as we have on the investor CST model that will recover 80% of the European market settlement.
Theodor Weimer: So the other question is regard to what is the revenue and contribution to GTX so we just closed it so you got the P&L impact in the first half year with that. It's just in our balance sheet but not in our P&L. So for the second half year, you will see obviously positive contribution overall for GTX. It's a safe number in the range of USD 25 million on a full year basis, so that's the starting point here. And just with regard to the cost, we will see the integration cost, so what level here is needed to achieve our synergy cases. With regard to Swisscanto the deal to close, because the guidance we can take until Q4. And, therefore, depending on that kind of situation, your contribution of our P&L or not.
Operator: The next question comes from Mike Werner from UBS.
Mike Werner: A quick question on the STOXX business and the indexing side. We've seen - I know there were some one-offs in last year's quarters, but we've seen essentially the pricing from this business when it comes to the ETF licenses trend downwards in recent quarters. And I was just wondering, is this due to competitive market pressures. Is this an attempt to win new business? And where - how should we think about this going forward? And then just a quick follow-up, it's one of the earlier questions with regards to the restructuring costs and the timing. Should this imply that most of the 100 million in terms of gross cost savings on an annualized basis, we should see that coming through in 2019, assuming you're able to finish the management delayering in the second half of this year as well as the rest of the staff restructuring?
Theodor Weimer: Yes, Mike, starting with your the second question. So it's a good signal if you are able to book with reflect because then you will be immediately good savings so rightly you will see savings out of our management delayering already in the second half year of 2018. With regards to our distribute the 100 million savings for the next 3 years, that really also depends on the outcome of the negotiation with the workers' council and if the staff delegates according to our plan, we want to close that kind of discussions until year-end. So you would be then, obviously, a bigger part of the €100 million already in 2019. But today, it's too early to give you concrete guidance. But overall, I can assure you that we are fully on plan and to deliver that kind of cost-saving target that what we gave as guidance. With regard to your first question on the STOXX index pricing topic, so far, yes, last year, we increased in some areas our pricing. So we see some positive impact here in 2018 on the STOXX business. It's now flattish in Q2 due to the fact that there was a pickup onetime in 2017 so our view is unchanged that our STOXX in this business will show double-digit revenue growth also in 2018. There was no need to do a price reduction. So we are not aware of that.
Operator: The next question comes from Philip Middleton from Merrill Lynch.
Philip Middleton: I'm afraid Mike has just asked my question so I will have time to somebody else.
Operator: The next question comes from Martin Price from Credit Suisse.
Martin Price: I just have a couple of quick questions on Xetra. First, just to follow-up on the earlier question on fees. I was just wondering if you plan to make any adjustments to the clearing tariff, following the decision to introduce open access or an open access carry model to the cash market. I think that one initially includes EuroCCP, which I assume got aggressive pricing. And second, I know it's small but I wonder if you could confirm roughly what the revenue impact is of the Irish Stock Exchange migrating their technology to Euronext infrastructure.
Theodor Weimer: With the move of Irish Stock Exchange, so our view is that there's still a contract in place, and we expect that, that kind of contract will be fulfilled and that it takes some time before it will be migrated and it's a move to the other platform. First question with regard to the Xetra fees, and so far, it's good to see the progress so we still keep a high market share in our debt area. So it's in the second quarter in the range of 68% so compared to a level 3 years ago, so that's positive. So there are different elements what is positive impacting that. It's our IT infrastructure what we improve. It's also from liquidity incentive we did to make sure that we are really the first-class provider of - and the biggest part of the liquidity here. Your specific question is with regard to the exit of and EuroCCP in our cash equity business yet maybe because we address and yes, we will do that. We don't expect a material impact this year obviously as the process of the function still have to be implemented. With regard to the next years, we cannot rule out that our clearing fees will go down.
Operator: And our next question comes from Chris Turner from Berenberg.
Chris Turner: It's Chris Turner from Berenberg. Just one question actually, please, and that's regarding our structural growth and what you classes as cyclical growth. And just to take one example, you introduced a new price schedule on your cash collateral, I think, back in 2015. But you actually delayed the implementation of that fee schedule because of the negative view environment. You finally pushed through the full 20 bps charge in Q2, and you treated the 8 million of revenues as nonstructural rather than cyclical. And in doing so, you've raised your structural revenue growth this quarter from below your €0.05 to above it. So really my question is where do you draw the line between the structural growth and cyclical revenues? And how do you get to a situation where net interest income falls on one side, but this cash handling fee falls onto the other side?
Theodor Weimer: Yes, thanks for the question and the chance to clarify that even in that round. So with regard to the NII topic, so obviously, it's U.S. that increased the rate and the benefit from that obviously that, that's not part of our decision so it's not in our hand, and that's why we classify that kind of impact as a cyclical impact. With regard to the increased cash collateral fee on the cash margin in our clearinghouse, Eurex Clearinghouse, this was our decision. And, obviously, we had some intensive discussions with the customer to increase that, and that's the logic why we say, okay, if that's the structural and because we can influence that. In principle, we define it between structural and cyclical. So we say structural is when we are able to increase our market share or when we introduce new products or new markets so that typically what we attempt to the structural growth area. Does that answer your question?
Chris Turner: I guess the confusion comes from the point where sometimes a cyclical backdrop or a change in the cyclical backdrop can make it easier for you to make a certain decision. But nonetheless, I see your logic and it makes sense to me.
Operator: The next question comes from Owen Jones from Citigroup. Mr. Jones, your line is open now.
Owen Jones: Just the Clearstream segment and the move in your margins, the adjusted EBITDA margin that you have reported. The Q2 period actually saw a slight decline versus the Q2 last year. I was just curious to understand better what the moving parts are there because if you look at the drivers of your net revenue improvement, actually, the bulk of it comes from your NII, which I already see - very high in property rate in terms of the margin benefits. So can you just help us understand what the beginning part for that, that would be helpful. Thank you.
Theodor Weimer: Yes, obviously, in principle, our focus is not to optimize our margin, but your concrete question, so you have seen in Q2, in Clearstream, a higher cost guidance and other some guidance. I think in Q1, a little bit lower. In Q2, it's a little bit higher. So it's basically averaged out for the full year and into 2018 and the increased cost are basically the main reason for this decrease of the EBITDA margin adjusting.